Operator: Good morning and welcome to the DHI Group, Inc., Second Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I'd now like to turn the conference over to Rachel Ceccarelli. Please go ahead, ma'am.
Rachel Ceccarelli: Thanks Keith, and good morning everyone. Welcome to our second quarter earnings call. With me today are, Art Zeile, President and Chief Executive Officer; and Luc Grégoire, Chief Financial Officer. Today's call includes certain forward-looking statements particularly statements regarding future financial and operating results of the company and its businesses. Listings are based on management's current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may differ possibly materially from those expressed or implied in these forward-looking statements due to changes in economics, business, competitive, technological, and/or regulatory factors. For a discussion of the principal risks and factors that could affect the company’s future results, please see the description of Risk Factors in our current annual report on Form 10-K for the year ended December 2017 and for our quarterly report on Form 10-Q in the section entitled Risk Factors, Forward-Looking Statements And Management’s Discussion and Analysis of financial conditions and results of operations. The company is under no obligation to update any forward-looking statements except what it is required by the federal securities laws. During today’s call, we will be referring to certain financial measures including adjusted EBITDA and adjusted EBITDA margin that are not prepared in accordance with the U.S. GAAP. Information and reconciliations of these non-GAAP measures to the most directly comparable GAAP measure are available in our earnings release, which is posted on our website at www.dhigroupinc.com. Now with that, let me turn the call over to Art.
Art Zeile: Thanks, Rachel and thanks to everyone joining our call this morning. On July 19, I completed our first 100-days as CEO of DHI. During this period, I spent a significant amount of time with our current and prospective clients, tech engineers, sales teams, employees and our management team doing a deep dive on all aspects of our business in competitive positions. Let me start by saying that I am genuinely excited by the prospects for our business and thrilled to be here at such a critical juncture for this company. What I’ve learned over the last three months has confirmed for me that our strategy for growth, growth driven by execution focused on our core strengths, rather than to accumulating diverse verticals is the right one. The market for technology talent is large and expanding rapidly. Just about every employer is in some stage of this shift to digital, which creates an extraordinary demand for job candidates with technology backgrounds. In the United States alone, the market for online recruiting and job advertising is increasing at a 5% to 10% annual rate, which is impart a function of a rapid growth in overall tech employment. The market for technology jobs is expected to grow at 3.5% per year in the U.S. alone, compared to 0.9% for the overall jobs markets. Specialized, highly skilled professionals create a disproportionate share of the value. The compensation for positions in the technology sector is significantly higher than average with 70% of these having a median salary of $80,000, compared with just 23% of all jobs with that same median salary. Tech also has the highest velocity of employee turnover at approximately 13% annually, compared to a 11% for professional level positions overall. Because we operate at the intersection of the supply and demand for this market, we have a unique opportunity to capitalize on that growth. With this as a backdrop, I’d like to share some of my initial conclusions and also review the actions we are taking to move forward. Perhaps the most important is my conviction that the tech-first strategy that the company implemented last year is the right one. Although competitive pressures are high, I believe that market conditions support a business model based on a specialized offering for technology professionals, which plays to our strength. The decision to divest our non-tech brands and narrow the company’s focus was the right one. Doing so, eliminated the distraction of trying to build scale in multiple specialized offerings. It also enables us to operate more efficiently by centralizing our engineering, product development and sales teams, so that we could optimize these new sources across our brands. However, there is no question that strong execution will be essential to effectively addressing the issues this business faces, so that we can drive growth in the future. We are off to a good start and the entire team here shares a disciplined and results-oriented mindset. We need to improve execution on a number of fronts, but I do believe that plans we are putting in place are the right ones. In Dice, there was an opportunity to build a career network and community around tech professionals given the little exist to facilitate career conversations today. Both employers and candidates are searching for better solutions. Dice must continue to focus on the higher end of the tech professional markets and specialize in hard to find tech professional talents. To do so, we have to invest in the Dice user interface to bring it up to current design standards and offer a better user experience. We must also address client retention and expand our base of direct hire clients, both of which are integral to reversing Dice’s revenue decline. However, the good news is that these are all straightforward and addressable issues. In Clearance Jobs, or CJ, the fundamentals of this business are a relative bright spot with consistently strong revenue growth including better account growth and sales from new business. Because of its strong community features, and outstanding leadership, CJ has been able to innovate quickly and validate several key functions for driving the value of a career network. We are planning to incorporate these features in our other brands. Separately, we are looking at options to expand in order to broaden CJ’s client reach. In E-Financial Careers, or EFC, the brand has strong name recognition globally and is influential in delivering relevant thought leadership content to the financial services marketplace. Our focus will be on growing the business in the markets where EFC currently has a strong presence. For example, EFC has made good progress in the Asia-Pacific markets and we will look to build on that. After careful analysis, I decided that we should close Dice Europe, which will be effective on August 31. We will reallocate our European resources to EFC where we have a strong competitive opportunity to serve professionals in the financial services industry. We believe this will drive a greater future return on investments. I believe that revenue growth in the near-term is achievable with the steps we are taking to restructure our sales activities, increased client retention and create standardized upsell campaigns. I’ll provide more color on these initiatives later in my remarks. Longer-term, the growth of our business will be dependent on improving product relevance and creating a career-oriented community business model with high levels of candidate engagements. While we will focus much of our effort on Dice, there are wide space opportunities for both CJ and EFC. We have a lot of work to do. But I am confident that we are taking the right steps. I believe that this is where the depth of my background and company turnarounds and product development comes into play. We are moving aggressively focusing on our efforts on what I consider to be three of our most important initial priorities. The first of these is simplifying our business structure to reduce drags on growth. During the second quarter, we finalized the sale of Hcareers substantially completing the divestitures of our non-core businesses. We are now focused on our thee core brands, Dice, CJ, and EFC, which are closely aligned in the engineering and product development resources needed to support them. We are also streamlining our infrastructure and consolidating our operations globally. We believe it is possible to maintain an adjusted EBITDA margin of 20% while investing for growth by being smart about reducing expenses. Luc will provide you with more specifics on this, but these efforts will free up additional resources that we can invest in product developments and other areas of the business to drive a much higher return on investment. Our second priority is generating revenue growth in Dice. We recently put in place a Chief Revenue Officer, expanding Ian Shepherd’s role, so that we have a single point of accountability for revenue growth across all our brands. I consider this essential not just to addressing client retention, but also to adding new relationships. Dice U.S. has been losing market share and revenues have been shrinking. I believe that there are two reasons for this, underperformance and net revenue retention and insufficient growth in new direct hire clients. While we have seen some improvement in attrition rates, and a slow rate of decline in Dice revenue since the beginning of this year, we need to do a better job retaining our existing clients. I initiated a study of our largest clients by fees to make sure we understand the profile of our ideal clients. We are also looking at a number of options for improving net revenue expansion in the near-term. Longer-term, we must establish more robust pricing methodologies, combined with creating and sustaining a product that clients find indispensable and are regularly engaged with. Equally important is the need to increase the number of companies that leverage our brands to hire directly while we have significant relationships with staffing and recruiting firms, and about a quarter of the Fortune-1000, we are underpenetrated among direct hire clients. Direct hiring has become an extremely important way to attract candidates and presents a much broader market than that for staffing and recruiting firms. We recently expanded our enterprise sales teams and changed commission plans among other steps to increase our base of direct hire clients. The third area we are focused on is product development. Historically, we underinvested in this area and we are not as innovative as we should have been. We lost market share as a result. Our product releases have not delivered new features at a steady enough pace in some cases, because we are too focused on fixing legacy platform issues. We must have a better balance between new feature delivery and “fixing the problem”. We have completed a competitive benchmarking analysis to identify gaps in both product development and marketing and we are currently looking for a Chief Product Officer and a Chief Marketing Officer. These functions will be essential to improving our execution in these areas. We are currently restructuring our product development team to emphasize the core engineering competencies that have the highest user impact. During the second quarter, we also migrated our San Jose office to our other locations to better integrate and co-locate our technology, engineering and product development teams. This will drive better alignment and more importantly, throughput. Becoming best-in-class in talent search is a strategic priority for us. We recently initiated beta testing of Talent Search 4.0, Dice’s new platform for recruiters, which is scheduled to go live in September. It’s the biggest and most innovative enhancement the Dice’s talent search capability in years. The platform is based on a single index combining profiles provided directly by prospective candidates, aggregated data from social sources and additional licensed data. It also contains new workflow and candidate interaction features to drive greater efficiencies and the time spent searching for relevant candidates by our clients. New features include, Intellisearch which has successfully powered our clients’ candidate profile search in CJ. Intellisearch enables employers to copy and paste the text of their job descriptions or ideal candidate resumes and immediately receive the top matching profiles from our database. This makes Intellisearch invaluable in saving our clients’ time. So that they can focus on recruiting instead of crafting the perfect online search. In EFC, we recently launched a new job search platform in eighteen countries, which offers candidates a better search and match experience on both desktops and mobile devices. As candidate satisfaction with the platform increases, so does EFC’s profile with potential employers. We appointed a long time team member as a new leader for the EFC platform, George McFerran and are identifying additional opportunities to leverage product enhancements and expand that business. While we won’t become a growth company overnight, we have a clear strategy for how to get there supported by a well-defined execution plan and a strong sense of urgency that is shared by both our board and our management team. We believe that DHI can create a competitive set of technology recruiting solutions by offering state-of-the-art capabilities that candidates and employers alike leading to a superior hiring outcome for hard to find positions. We will deliver on this vision by focusing on the highest quality candidates and improving the user experience through client-focused innovation. We are moving aggressively to streamline our business, so we have the resources to capitalize on the market opportunity that we see. We are confident that these steps will put DHI at the forefront of online technology recruiting and enable it to grow its business and earnings over time, in turn, leading to superior shareholder value creation over the long run. With that, let me turn the call over to Luc, who will take you through our quarterly financials and then, we will take any questions you have. Luc?
Luc Grégoire: Thanks, Art, and good morning everyone. Today I’ll be reviewing our second quarter 2018 financial results and updating you on several initiatives underway to continue to streamline our operations. For the quarter, we reported total revenues of $41.6 million, 21% lower year-over-year. The primary reason for this decline was a disposition of our non-tech businesses since late last year, including the sale of Hcareers in May for $16.5 million. This sales substantially completes our divestiture process consistent with our strategy to focus our business on the employment markets for technology professionals. Our tech focused revenues, which include Dice, Dice Europe, CJ and EFC were $38.3 million for the 2018 second quarter, a 2% year-over-year decline which included a two percentage point foreign exchange benefit, but were 1% higher sequentially. Year-over-year revenue growth in CJ and EFC were offset by a decline in Dice. While we have work to address this decline, we did see improvement in some of the business metrics during the quarter and the rate of revenue decline has slowed. The closure of Dice Europe, which was operating at approximately breakeven is not expected to have an impact on DHI’s results of operations in the third quarter or in future periods. Dice revenues were $23.5 million in the second quarter, 8% lower year-over-year. This decrease was due primarily to an 8% decline in the number of recruitment package customers year-over-year. However, on a sequential basis, the customer count stayed flat at 6200 and Dice’s revenue increased slightly. While the renewal rate on customer count remains in the mid 60% range, the revenue renewal rate increased to 78% in the second quarter, up four percentage points year-over-year and it’s the highest level since the third quarter of 2016. Average monthly revenue per recruiting package customer held at the 1110 level we’ve seen for several quarters. We are encouraged by these results and as are detailed, removing aggressively to expand our sales with our existing client base, add new clients and improve our product offerings. CJ revenues for the quarter are $5.1million, which is 23% up year-over-year for a tenth consecutive quarter with 20% plus growth. This performance has been driven by consistently high demand for CJ’s database, considered the highest quality and most relevant source of clear candidates in the industry. The market for professionals with government clearance continues to be highly competitive with very long lead times to get cleared. For example, a recent government report on clearance processing times noted that it takes 533 days to receive a top secret clearance and 220 days to receive a secret clearance. Against this backdrop, CJ’s value proposition is even more evident and its state-of-the-art platform is a significant source of competitive differentiation. EFC revenues were $8.5 million, up 6% year-over-year including a five percentage point foreign exchange benefit. As Art noted, our near-term focus is on expanding EFC’s business in this current markets, particularly in Asia and Europe where it has a solid base. Our corporate and other revenues which includes revenues for Hcareers through it disposition date and the remaining Rigzone were $3.3 million for the quarter, compared with $6.6 million for the same period last year. This decline of $3.3 million was due to the divestiture of Hcareers, BioSpace and the RigLogics portion of the Rigzone business. The remaining Rigzone business was flat with the prior year quarter. Now turning to operating expenses. Our operating expenses for the quarter were $39.7 million, 18% lower year-over-year. The decrease was primarily attributable to a $10.5 million reduction from the divestitures of the company’s non-tech businesses, an $800,000 related to the ongoing Rigzone business. The decrease was – this decrease was partially offset by $3.1 million of increased operating cost in the tech-focused business, primarily related to higher marketing, product development, professional fees which are included in general and administrative expenses, and disposition-related and other costs. The quarter’s effective tax rate exceeded the expected 25% rate because of the impact of divesting of stock-based compensation during the quarter. We expect that our effective tax rate will be approximately 27% in the second half of 2018 and 25% thereafter. We recorded a net loss of $200,000 for the quarter or $0.00 per share due to lower revenues and increased expenses in our tech-focused business. Also contributing to that loss were $2.6 million or $0.05 per diluted shares of disposition-related and other costs, a loss on the sale of Hcareers and higher discrete tax expense related to the vesting of stock-based compensation. Adjusted EBITDA, which includes our tech-focused businesses and the remaining part of Rigzone was $7.5 million for a margin of 19%. We continue to expect an EBITDA margin of 20% for the second half of 2018. Our goal is to ensure that our spending is as efficient as possible and to that end, we are currently identifying savings in our outside spending base, particularly for technology and marketing costs where we can refine our spending to achieve a better return on investment. As Art mentioned, we are also rationalizing our operations including the closure of our Dice Europe business, the migration of San Jose office functions, and to our other locations and reducing a needed office space in New York. For the quarter, we generated operating cash flow of $1.4 million, a decrease of $7.8 million from the prior year period due to approximately $2 million of lower net earnings and working capital changes of $5 million. This change resulted from an adjustment to our billing terms to bring them in line with the market standards. However, this change did not impact the average length of our contract commitments, which remains slightly over one year. Looking ahead, our outlook for the rest of 2018 remains unchanged from our previous communications. We believe that high demand for the tech professionals and the current competitive dynamics will continue. We expect a gradual abatement in the rate of revenue decline for Dice and continued top-line growth for CJ although not necessarily at the 20% plus range rate given the higher year-over-year comparatives and the extremely tight labor market for clear professionals. We expect the revenue trends for EFC to continue for the near-term as current growth initiatives ramp up. Expense management will remain an important focus as well maintaining a 20% adjusted EBITDA margin for the full 2018 year. Now let me turn briefly to a couple of balance sheet items. The first of these is our debt outstanding. During the second quarter, we repaid an additional $19 million of debt using the proceeds from the Hcareers sales and cash repatriated from our overseas operations. Our debt outstanding was $19 million at the end of the quarter, a 73% reduction year-over-year, bringing our net debt to approximately $9 million and leverage ratio to about 0.5 times. Our strong liquidity and balance sheet are essential to supporting our strategy execution. The second point on our balance sheet is our share buyback program. In May, we announce a $7 million share buyback authorization. At the time, our removal from the S&P 600 index has caused a significant decline in our stock price, which at one point was getting near $1. We anticipated that our removal from the Russell 2000 might depress the price further, it turned out that this reduction did not occur. As such, we only purchased 55,000 shares during the quarter. While we continued to opportunistically approach buyback of shares, we will also carefully evaluate our first use of cash with the priority being investment in our business. In closing, I’d like to echo Art’s sentiment that we are excited about the prospects for our business. First, we continue to believe that our three great brands have a strong competitive differentiation with the right level of focus on investments. Second, our new CEO leadership is already bringing a renewed level of energy and increased product execution capabilities at a company. Finally, with the divestitures and structural reorganization over the last 18 months behind us, together with the current projects we have underway to streamline our business and reduce expenses, we are able to fully shift our attention to tech-first growth. For these reasons, I am confident that we’ll be able to capitalize on the market opportunity in front of us which we believe will drive superior shareholder value over the long-term. As always, I’d like to thank you for your interest today and with that, let me turn the call back over to Art.
Art Zeile: Thanks, Luc. I’d like to close by thanking all of our 500 employees worldwide for their hard work over the last quarter. Without their focus, dedication, and energy, we would not have been able to accomplish as much as we did this last quarter. With that, we are happy to take your questions.
Operator: [Operator Instructions] And this morning’s first question comes from Doug Arthur, with Huber Research.
Doug Arthur: Yes, couple questions. The – Luc, deferred revenue on the balance sheet actually declining again, that’s down year-over-year I believe. Is that a function of Hcareers? Or I guess, 64.2 at the end the of the quarter. What sort of explains that?
Luc Grégoire: Yes, it’s a couple of factors, one is, it is Hcareers and the other businesses that we’ve divested this last year. That accounts for – not quite half of the variance. However, another impact is what I talked about is changes in our working capital dynamics where we are starting to open up the billing terms to our customers to be competitive and while – so basically, we are looking at some quarterly and some monthly billing situations. As opposed to where in the past, most of the billings would have pending, still our most of the billings are billed annually upfront. So it’s a combination. So the divested businesses are about $9 million worth of that change.
Doug Arthur: Okay, great. Thank you. And then, secondly, just on a housekeeping. In terms of corporate and other revenues going forward, I think you get $1.3 million in Rigzone, with the remaining of piece of Rigzone, is that sort of what we can expect going forward as a runrate to the quarters give or take?
Luc Grégoire: That’s right, all that’s left in corporate and other is the Rigzone business.
Doug Arthur: Okay. Then finally, on E-Financial, I mean, I guess, with our currency is sort of not flat – or not quite flat lining, but growing very modestly. What’s it going to take to get that business growing a little faster?
Art Zeile: So, I think that there is plenty opportunity. There is kind of geographic opportunity, as well as, product-based opportunity. What we are seeing is that there is really great growth in Asia-Pacific. So, we are actually adding sales resources there. We think that we are underpenetrated in that set of geographies. What we also believe that there is a set of managed services that are available to the entire client base there that we are able to build upon. And that’s what we are focused on for the future.
Doug Arthur: And right now, APAC represents, how much of that business?
Luc Grégoire: It’s about a third of that business.
Art Zeile: A third, currently.
Doug Arthur: About one-third, okay, great. Okay, thank you very much.
Art Zeile: Absolutely.
Operator: Thank you. And the next question comes from Kara Anderson with B. Riley FBR.
Art Zeile: Hi, Kara.
Kara Anderson: Hi, good morning.
Luc Grégoire: Hey, Kara.
Kara Anderson: Hey. Can you expand more specifically on the competitive pressures that you are seeing, is it in price, is it in share of wallet? And then, I guess, to that last point, is there room in the direct hires wallets for Dice which might damp the other line?
Art Zeile: So my view is that, we certainly attended two different large market segments. The staffing and recruiting and consulting agencies market as well as the direct hire market. I would say that there is probably more competitive pressure in the SRC market. They do a lot more refined return on investment diligence and analysis, whereas the direct hire market is very desperate to find technology talent and they are willing to essentially take whatever avenues are available to them to do so. I would say that, our movement towards more direct hire customers is solid and fundamental, I would say, in both of these markets. The general sense is that they need multiple tools. So, it’s a matter of share of wallet more than anything else, but there is more, I would say need and aggressive use of tools on the direct hire side, because they understand that they want to essentially effectively hire people very quickly.
Kara Anderson: Okay, great. And then, when you think about the Talent Search 4.0 rolling that out to Dice, I mean, how do you characterize that in terms of the impact on monetization?
Art Zeile: So, I think that, as we roll that out and it’s going to be a multi-stage process as we convert customers over – 6200 customers over to that platform by the end of this year that we will see the improved usage of our platform itself, which will essentially allow for higher retention rates, as well as the ability to hopefully expand customer relationships. We are going to be putting that front and center with our new prospect activity. So, we believe that we can essentially retain more, upsell more and then, encourage new relationships by virtue of that platform change. And it’s a real huge change for us and quite frankly, years in the making.
Kara Anderson: Got it. And then, I guess, for Luc, what else comes out of 2Q operating expenses? Like, can we think of it as a reasonable runrate when you consider the investment you are making on products with the rationalization of operations?
Luc Grégoire: I think it’s – yes, I think it’s going to be a reasonable runrate. There is probably a bit more room for us to expand on our technology and product. But at the same time, we are going pretty aggressively after efficiencies. So, how we are thinking about the business is constantly with that 20% margin, we think we have room. We have the wide space, I guess in our expense base to go and remove some of that. We are thinking in terms of pricing on our vendors, there is some usage management and for the business we are able to continue to invest in that in the business and like generate, we do have the operating leverage in the business that to get back to improving that as we get back on turning our growth trajectory.
Art Zeile: We are fully focused on making sure that we maintain that margin, but also make all of these smart expense reductions, so that we could repurpose them for investment primarily in sales and product development. So, the way that I look at it is that, we can be more efficient and as Luc said, we look at efficiency as making sure that our pricing for vendor services is appropriate for market conditions and that we’ve reduced the demand associated with vendor services to the maximum degree possible. But we believe that those savings are definitely there.
Kara Anderson: Got it. Thank you.
Art Zeile: Thank you.
Operator: Thank you. And as there are more questions at the present time, I would like to turn the call over to Rachel Ceccarelli for any closing comments.
Rachel Ceccarelli: Yes, thanks for joining us today. For further questions, please email ir@dhigroupinc.com or call 212-448-4181 to be placed in the queue. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.